Felipe Peres: Hello, and good afternoon. Thank you for attending our webcast to present the results of the second quarter of 2024. This event is being recorded and simultaneously translated into English. To listen to the audio in English, just click on the interpretation button. We are going to start our event with a presentation by our CEO, André Haui, and our CFO, Rafael Sperendio, who will talk about the results and performance of the period. The slides in Portuguese and English are available on our investor relations Web site at www.bbseguridaderi.com.br. After the presentation, we are going to have a Q&A session, which analysts and investors may ask questions. I'm going to come back at the end of the presentation to give you additional orientation. Now, I would like to give the floor to André to start his presentation.
Andre Haui: Thank you, Felipe. Good afternoon, Felipe and Rafael. Well, first of all, I would like to thank everyone who is watching us. I'm going to start the presentation by greeting our customers, shareholders, and everyone who is watching us. It's a great satisfaction for me to announce the net income in the first quarter of 2024 has kept its growing trajectory year-on-year despite the scenario of volatility, reinforces the resilience of our business model. Accounting net income has reached BRL 4.2 billion in the first six months of the year, an 11.8% growth as compared to the same period in the year before. Now, the adjusted managerial profit that does not consider IFRS 17, all extraordinary events of the half-year, grew 3.1%, totaling BRL 3.7 billion. This performance comes from the growth of the operation, which is still in the one high digits, performing in the upper part of our guidance as expected. In our insurance operations, we had a high of 5% in premiums written, getting to BRL 8 billion. And the main highlight is credit life, which grew 21%. The loss ratio of 27% remains a positive surprise, with a reduction of one point percentage points year-on-year. In our pension businesses, the reserve balance has exceeded BRL 410 billion, up by 12% in 12 months, with a net inflow of BRL 5.3 billion. I would like to emphasize that this number was more than twice higher than the number that we had in the first-half of last year. In our savings bonds or premium bonds business, we had BRL 3.2 billion in the half-year, and total reserves grew 5%, reaching the balance of BRL 11.2 billion at the end of June 2024. Lastly, as a result of the good commercial performance in a half-year, BB Corretora brokerage revenues totaled BRL 2.7 billion, up 12% as opposed to last year. And here, I would like to highlight the strength of the team of employees of the Grupo BB Seguros. And I would like to thank everyone in this group. My dear friends, our strategy based on the Company's purpose of providing confidence for people today and ever, is still being executed as expected. In the first six months of the year, we had significant deliveries. We have invested BRL 258 million in IT infrastructure, cybersecurity, and developing digital solutions journeys This investment, combined with our strategy execution, has made it possible for us to reach interesting marks in our portfolio. I'm going to mention a few. Now, we have the insurance and the rural pledge for livestock and fruit and vegetable crops. So, together, these products have generated more than BRL 257 million in premiums written in the first-half of the year. In life insurance, we have improved our collection process. Aligned to our digital positioning, in May, we made available a solution that makes it possible to pay overdue installments through Pix sent by Whatsapp. In very few days, more than 1,000 policies that were overdue were updated with this solution, which helped in the reduction of 11.6% of the churn of this product in 12 months. In pension, we made available the utilization of pension as collateral for credit operations. In the first-half of the year, more than BRL 300 million were retained, initially made available for structured credit facilities. Now, complementing the work in our main distribution channel, the Banco do Brasil, we still seek opportunities to expand our business model in addition to managing our current partnerships. Here, there are some important numbers to highlight. In the first-half of the year, we have reached the amount of BRL 75 million in premiums written of insurance for major risks and transportation in partnership with our partner brokerage houses, a growth of 71% as compared to the first-half of 2023. We have added 24 new partners, considering major machinery dealers, and then we have insurance through partners, and we have reached BRL 797 million. And despite the 10% drop that was very much impacted by a lower volume of crop insurance, has presented a contribution that is 23% greater to the net income of BB Seguridade, which demonstrates our commitment with strategy, at the same time as preserving profitability. Everything that I have presented so far has as a final objective offering the best customer experience to our customers so that people can rest assured. And then everything that evolved, this demonstrates that we are on the right track in our corporate structure. The NPS of our customer base is consolidated in a quality zone, evolving 6.4 points in the last two years. The number of complaints is falling continuously. The number of complaints in 12 months, until June 2024, was 12.3% smaller than the one that we had between July 2022 and June 2023. And the level of protection of our customer base continues to evolve. The number of super protected customers, which are the customers that have more four or more products in our portfolio, has grown 6% between December 2023 and June 2024. And customer service and EPS, according to the assessment of these customers, improved by 1.6 points. As everybody knows, in the first-half of the year, unfortunately, we had a catastrophe in the south of the country; especially in the states of Rio Grande do Sul and Santa Catarina. At that time of major difficulty, we tried to reinforce our proximity with our customers. So let us see what we did. We have delayed the cancellation of policies due to overdue installments that matured in May. We sought proactive contact with customers in affected regions, with 89% reach of our attempts. And we have made available an exclusive call center to receive calls from our customers who had an emergency, in addition to expanding the care that we provided to them. And we received more than 5,000 calls, and this number, even though robust, presents, through our reinsurance strategy, a net impact that is smaller as the share of our total result. It's important to remember that the effects of this event are still felt by the population that is now trying to rebuild the cities affected. That's why it is very important for everyone to keep helping in any way you can. Before ending my presentation, I would like to highlight that the results that we have reached are the result of our effort and focus in our customers, employees, and shareholders, and they are based on the solid pillars of our strategy, of which I would like to highlight, continuing improvement in customer experience, seeking to make our customers our fans, and to win them wherever they are by modernizing our portfolio in a sustainable and innovative way. This has translated in a pursuit for better and better results in a way that is light and efficient. This is making a difference. So, I would like to thank you for the opportunity. And now, I give the floor to Rafael, our CFO, who is going to give you details about the numbers for the first-half of the year and quarter, and then we move to the Q&A.
Rafael Sperendio: Thank you, André. Good afternoon. So here, we have the details of the numbers. So, this is an evidence of how SUSEP's circular letter 678 impacted us. It's been in effect since January. And in the second quarter, we had a few impacts that were slightly more relevant that had an impact in our bottom line, and part of these effects were booked as extraordinary events. So just recapping on SUSEP 678 and the changes they have imposed. It addresses many different points, but I'm going to be more specific in terms of the impact on Brasilprev. So, this document has defined, and now has included the possibility of benefits to grant in terms of our writing them down. So, when are -- sometimes we are in the accumulation phase or in receiving. And now, based on the circular letter, it's possible to write off provisions for customers to survive in addition to the time, which has made it possible for us to close some benefit plans that were overdue or were past the maturity date, and a decision was postponed, increasing the liability balance a long time. So, if we are to summarize, this has had a twofold impact; one, more an accounting aspect, and more economic. So in the economic aspects, just as I said, we wrote off the provisions of the plans that matured, and this led to a reduction in capital of about BRL 234 million, and this has been quite positive. But the accounting aspect of the 678 letter has brought a change in the way we report the deficit for these plans, as according to the previous standard, we used to -- once it was calculated and there was a deficit in the provision, we had the prerogative of using more guarantee in assets to offset. If they were sufficient to offset, we did not need to book the liability, which we call provision for complementary coverage. And this is what we used to do until December. According to the 678 letter or standard, we started to have to book and to write this deficit in our financials. So, at the time of transition, there was a deficit of BRL 650 million in January, and it was immediately booked, so that we complied with a new standard. And all this had some impact in our bottom line, it caught the attention. But after that, we equalized assets and liabilities in reclassifying the portfolio, so -- until maturity. And then we brought this plus value to the balance. We booked BRL 650 million and something like BRL 2 billion that is part of the net property of Brasilprev, or better saying, net equity. And now, between January and March, we had the defined benefit plan. And then we started asking customers what is the option, what they would like to have to redeem or to convert in income. So, when we went towards the second-half that has a positive economic impact there was a benefit. And then we have BRL 1.3 billion, something like BRL 300 million were converted in income, and more or less BRL 1 billion was either redeemed or converted into a PGBL kind of plan, but now with a defined contribution. It had a surplus because there was a surplus, and the flow that was projected along time, ETTJ was above the net liability, thereby generating a surplus. And then, when we stop and this flow comes to present time, it no longer exists because then we need to make a decision, we can no longer postpone the decision, so this surplus no longer exists. And then there is a provision for a complementary coverage, and this is the share that we understand that is one-off and extraordinary, so we close the period for comparison purposes, and because this is a one-off event, due to something external, which is the implementation of the new standard by SUSEP, and because it addresses all the inventory of mature plans. From now on, we are not expecting any other extraordinary events. The inventory has all been dealt with and addressed. And the adjustment, either due to survival or conversion in income, or whatever, we are not expecting any impact as big as this one in the future. So, the BRL 277 million, as you can see in the MD&A, there are details of the new standard and with the presentation attached to it, we have -- there is a table with all -- everything that we did, all the movements, and we can answer any questions you may have. But BRL 217 million has led to an adjustment in Brasilprev, of BRL 129 million. And if we bring to BB Seguridade, it has had an impact of BRL 127 million. So we go from BRL 1.8 billion to BRL 1.9 billion in the recurring base, growing 1.6% as compared to last year. And now, on the next page, you can see the investment income and the managerial, BRL 9 billion. And in the first-half of the year, we delivered BRL 3.7 billion, a growth of 3.1% as compared to the first-half last year. As Andre said, so this income came from operations. So, next page, you can see all the components with this growth. The only reason why it wasn't bigger is because of the financial impact that you can see on the right-hand side that suffered because of marking to market and interest rates, especially between April and May and June. And this has impacted Brasilprev's investment income. And so this also increased the cost of the liability. And the investment income, which accounted for almost 20% last year, now accounts for only 15% in the first-half of this year. Now, on the next page, you can see the details of the main component in the variation. So, the main driver for growth especially because in credit life insurance and what we have been seeing along the year, especially in rural insurance and also in the rural pledge that we have, especially considering the first installments of Brasilcap, there is a higher compensation for pension plans, so brokerage revenues is quite significant. Management fees at Brasilprev with an increase in the assets under management. Loss ratio is also important for the operational results. Despite all the impacts that we had, because of the south of Brazil, as André mentioned, if we see the overall numbers, loss ratio were better than the first-half of last year, especially in life and also in rural pledge and life. And then part of this growth is taken up by revenue by the broker house and insurance company, and in addition to the growth of admin fees. But overall, the operational result has grown by BRL 260 million, 8.8% up as compared to last year. So, part of this growth is taken up by the investment income, as I said in the previous page. So, the first component is a BRL 23 million reduction, which is basically the variation in the Selic rate year-on-year. We offset part of this by volume, almost in full; this time mismatch had a positive impact. Last year, the IGP-M curve was downwards, and there was a heavier time mismatch. In the first-half of this year, the time mismatch was almost neutral. So, in the first-half of last year, in this we have added BRL 150 million. But the main problem here for the final numbers was the marking to market. So, we had -- it was down by BRL 150 million as compared to a gain of BRL 129 million last year. And this has heavily affected the investment income this year, and that's why you are seeing this impact. So, it took BRL 147 million less than it would have grown. Now, on the next page, page nine, you can see our insurance operations. So here, we have some specific impacts in terms of premiums written. First, so we have insurance that are part of the car loan, and this was a product that had a profitability that was below our attractiveness rate. And then we decided to stop selling this product to review it. And then, once we relaunch it, we are going to remodel this product with appropriate profitability. Another impact was the write-off in some coinsurance operations in life and also for credit life. And then we had the impact of the contracts, and everything took place 100% accurately. And accounting was not appropriate in the settlement of the operations. So, we wrote it off, it's slightly more than BRL 90 million. And if we add the two effects in the quarter, if we compare year-on-year, there is a growth of more or less 5%. Written premiums in the half-year has grown 5%, from BRL 7.7 billion to BRL 8 billion. The main highlight in the first-half of the year was credit life that has been good since last year, with very good performance this year too, growing 21%. And we didn't even segregate the coinsurance impact, and it would be even more, very, very good performance. As part of rural insurance, it has also provided significant growth of 4.2%, as well as the rural pledge. And the only observation here is that rural insurance, we have the crop insurance. So, considering the plan and if we think last year, the performance is more modest in crop insurance this year compared to last year, even though we saw that Banco do Brasil increased its share in the amount of funds. And then we are expecting to see a positive second-half of the year in this segment. So here commercial insurance has dropped in the quarter, and this is totally related because we are no longer marketing our operations and our insurance for credit letters. So, life here is flat because of coinsurance. Other than that, it would have grown year-on-year. In terms of quality, so to speak, and in this portfolio we can see that in the quarter, year-on-year, there is a slight worsening of the combined ratio. This is especially because of commissions. So, crop insurance has the lowest commission in all modalities in our portfolio, and credit life has the highest commission. So, as crop insurance is underperforming, as a whole, and it has lower commissions because of mix and the loading in credit life, so it affects average commission fees, and that's why there is an increase in commission fees, and worse combined rate year-on-year. If we look at the accumulated numbers, so the positive highlight is the loss ratio that is lower than last year that more than offset the increase in commissioning because of the product mix, as I mentioned before. In terms of expenses, it went up a little bit if we see it year-on-year and year-to-date, but this is because of a change in classification of some intangibles from CapEx to OpEx, so this has increased the basis for admin expenses, and that's why it has gone up 30 basis points in accrued numbers. And now, investment income has dropped year-on-year, in the half-year too, and this is because of the drop in the Selic rate. We offset a significant portion of that with volume, but not everything. And lastly, considering the overall context of the operation, net income has grown 3% year-on-year, 7% growth in a year-to-date because of higher written premiums or earned premiums better saying, but also delivering a high growth if we look at year-on-year numbers. And now, on page 10, the pension, so here we have the collection growing at 2% year-on-year, 8% year-to-date. So, we are going against the downwards trend, but we no longer had -- we had a redemption of BRL 300 million, but we had a net inflow of BRL 5 billion in the year, with more than doubling as compared to the first-half of last year. And in terms of active reserves, BRL 410 billion. Management fees growing 13% year-on-year, almost 10% in year-to-date numbers because of the higher volume of assets under management. Average rate, we had four basis points, so there is a reduction in the share because of multi-market in a total of assets under management, and that's why we have the average rate here. As to the adjusted net income, it has dropped 21% year-on-year, 26% down in the year-to-date numbers. This was impacted by the provision for complementation of coverage, so this generated this impact. And the investment income, marking-to-market and IGP-M ended up having an impact on our investment income, taking up some of the bottom line of Brasilprev in the first-half of the year. Now, in our premium bonds, so here, year-to-date number up by 3%, and reserves going up 5% year-on-year. In terms of drafts paid, going down 20% in the year-to-date numbers, and 15% year-on-year. And in terms of the investment income in second quarter, up by 5% as compared to second quarter last year, despite the contraction of financial margin of five basis points, but the volume and the growth in reserves, as I mentioned before, ended up more than offsetting this reduction in margin. Now, year-to-date numbers, we have a financial facility line coming from the cost of liabilities as a result of the lower TR, and we had this 18% share of the investment income, which was the growth driver, 12% growth in the net income, and 11% year-on-year. Now, going to the BB brokerage, growing 12% year-on-year, and also in year-to-date numbers, very good performance because of pension and premium bonds, the net margin, it's better by 30 basis points, also because of sales. The net income growing at the same speed at revenue, 12% on both comparison basis. And now to wrap up, you can see our guidance for the year. So here, we have the adjusted non-interest operating result in the middle of the range. Premiums written, we are below the range according to the first-half of the year, of 5%, and our guidance was 8% to 13%. And that it was here impacted by the write-off of our coinsurance operations, and it had 2.5% growth and, other than these events, so the half point is related to this change in crop insurance that, this year, is going to be concentrated more on the second-half of the year. And we are keeping the range. We do not see any indication that we would review this range of growth. And lastly, pension reserves, growing 13%, above our guidance range, which is from 8% to 12%. So, overall, our results are positive. There were some events along the first-half of the year that kind of affected the comparison basis, but, as I said, everything involving, especially the provisions for complementary coverage was related to accounting practices. But it had an economic impact, which is not so clear when we look at the bottom line, but it's is very clear if we, as you're going to see in the table we show, the solvency of the Company, so our significant reduction in capital for subscription, very positive. And in terms of accounting aspects, so it still compensates this deficit that we had. And this has not changed. It still offsets, but now we need to show evidence of that, and this is something for you to observe from now on, and how this is translated in our financials, the variations in the interest rate curve and the variation according to current assumptions. So, we will always need to deal with this -- with the equity, and to understand what we used to do. And so, as I said, no major impact in the cash flow. Much to the opposite, this is likely to increase the flow this year. So now, I end my part, and we can move on to the questions-and-answer session.
Andre Haui: Thank you so much, Rafael.
Operator: Now, we are going to start our questions-and-answer session. [Operator Instructions] We have our first question, in audio, by Guilherme Grespan from J.P. Morgan.
Andre Haui: Hi, Grespan, good afternoon. You can ask your question.
Guilherme Grespan: Good afternoon, Felipe, Sperendio. How are you? Thank you for the presentation. I have two questions to ask. The first is for André. It's been a while that you are on the seat of CEO. And I didn't ask this last quarter, but now you are seeing BB Seguridade, and where you want to go in the next year-and-a-half in terms of time. And my question is more related to the X-ray. So, could you list to us which are your priorities for the other year-and-a-half? And more specifically, I would like you to talk about the contract. This is something that the market pays close attention at. And when we look at previous administrations, there is a very clear message that the main focus of Ulisses was to diversify, and contracts were second in priority. So I would like to hear from you what do you see for the next year-and-a-half as a priority in your management? And how do you fit into this list? And my second question is more related to that, and I can wait, and Sperendio can help. So, this quarter, we had 27 million shares, and the plan was 64 million. And I think that you are at 59 million. And I have two questions regarding that. So, can you confirm to us, Sperendio, is it easy for you to cancel the shares in treasury and to have another buyback plan before the end of the current plan? And the second question is about the executive officers' compensation plan. If I am not mistaken, you have 40% in long-term shares, 10% in shares at site. Is there a lock-up, and the 40% in long-term, how are you managing it?
Andre Haui: Guilherme, good afternoon. Thank you very much for the question. I'm going to ask Rafael to start, and I would like to talk about the strategy. So, we are going to do it backwards. And you ask three questions, not two, right?
Rafael Sperendio: Well, thank you for your question. Well, as to the buyback plan, well, in fact, we are very close to the completion of our plan. As to the cancellation, so everything can be very simple, it's just a decision by the Board of Directors. But it's never so simple because our controller is a bank, so if we cancel those shares, this would increase BB's share in BB Seguridade. And before that happens, we need to have an authorization by the Central Bank of Brazil. So, this is a point for observation before we decide to cancel the shares. As to executive officers' compensation, it is more or less as you said. Half is cash and half in shares, and the first share at sight with no lock-up. And then the remaining shares, they are in a LNA that is more in the beginning. It used to be linear until last year, now this year it's changed. So, it's slightly heavier on the first share, and then it goes down a long time over a period of five years, as you said.
Andre Haui: May I, once again, thank you so much. I would like to first talk about the contract. So, since I arrived at BB Seguridade, and I think it will be six months, this has been addressed by our investors, shareholders whenever I travel and whenever I talk. Number one, yes, there is an intention on both ends to look at the contract. We understand that BB Seguros and Banco do Brasil to continue existing. The bank has all the intention to improve the relationship so that we can be more present in all cities through Banco de Brasil, and, of course, continue the strategy of having new customers, new partnerships. And then when we are -- come from Banco do Brasil and we are here working, of course, the Company will keep doing its job. The way we are going to work, once contracts mature and in terms of the investments, this is something different. I think that the easiest thing here is to sit down with the bank, look at our future to work on our perennial future and continuity, both [Tarciana and Geovanne] (ph), the CFO of the bank, and me too. This is within the scope. This is a priority. We -- all our investors and shareholders, we want to provide all predictability and confidence. And this is the basis and the foundation of this term in office. In answering your first question, we do not know what exactly is the management time but, of course, we expect to build something and leave a legacy. So the legacy here is to keep our strategy in execution, the active pillars in terms of modernization of our portfolio, always looking at what is the best and the most modern, both in the physical stores and also digitally, always seeking innovation, always seeking to invest in data analysis. But I would say that customers, in this current management, there is a major focus on new businesses, new business lines, new partnerships, and new business areas or segments where we do not yet operate, and in this manner getting to new numbers. And I hope that, in looking at customers and improving everything that we do and after sales, looking at our shareholders, and contracts and results, and efficiency, and looking in home with our employees and teams so that everyone is fiercely going after result and performance, I think that we are going to get to the results expected. So this is it. This is, overall, seeking new businesses; modernize the current portfolio, new products, and new ecosystems. I think that this issue of ecosystem is very important. I'm going to mention one ecosystem that we are going to go into, which is the Banco do Brasil's credit letter ecosystem, also in terms of credit life insurance. And when we look at other ecosystems, government ecosystem, vehicles ecosystem, we still have a lot to grow. And these are the paths that we have to go towards, but always paying attention and being very careful so that we can provide good deliveries.
Guilherme Grespan: Thank you very much.
Andre Haui: Thank you.
Operator: Our next question comes from Antonio Ruette from Bank of America. Antonio, you may ask your question.
Antonio Ruette: Hello. Thank you for the opportunity to ask my question. I have two questions. The first is about the guidance. Could you give us more details? And when we look at the numbers delivered in the first-half of the year, what is the idea? How are you going to converge into the guidance range, how are those numbers going to go into the guidance range in the second-half of the year? What are you going to do to get that? And what about credit letters, could you give us some indication, give us more details? How big is the opportunity that you are seeing with Banco do Brasil today?
Rafael Sperendio: Well, Antonio, thank you for your question. As to the guidance, you are talking about premiums, is the only one that we are below. Well, as I said then, there are two unexpected factors that had an impact. If it weren't for those two factors, we would have gone into the lower range or the lower part of the range. We didn't expect that Safra plan to be released so much later than it was last year, so it kind of displaced the contracting of insurance. And I said two-and-a-half because of a product that we are no longer marketing and the impact of coinsurance, so this would be another half-point. Additionally, it's worth emphasizing that, even though we are below the range because of these effects, these effects in the share, it's either a negative or residually positive. Coinsurance took up a little bit more than BRL 90 million -- or rather premiums from the bottom line, and its share was BRL 7 million, almost nothing. And the product breach of guarantee is a product that, also in terms of return on the allocated capital, it was destroying value. This is an option that we made to favor profitability at the expense of billing. So, if we take out these effects that create some noise but that were affecting our bottom line and what we expect for the second-half of the year, is basically related to very positive expectations. As I mentioned during the presentation, the share of Banco do Brasil and the total controlled funds has increased substantially as compared to last year. And this will contribute to the increase in crop insurance. So this has helped a lot already. And this has been one of the reasons why we decided not to review the guidance, always reminding you that 5% growth here, and another point reinforce the contribution or the share in the bottom line may look smaller than it would be. And the retained has grown almost 11%, so retained premiums that really contribute to the bottom line. And it's important to look at that indicator rather than just premiums written.
Andre Haui: I would like to comment, and in talking about the guidance, I think as to the Safra plan, the drivers, and incentives and the strength of Banco do Brasil together, and for all products. And we have bigger motivations for a better bottom line; we are going to go after that. As to credit letters, the main lines, we have the credit life and car insurance, vehicle insurance. So, we have -- and then we have the segment of credit letters. And this is a good estimation of our strength in Banco do Brasil. And we have our products, and with many of them, we are able to attain the results.
Antonio Ruette: Okay, thank you very much.
Operator: Our next question is from Tiago Binsfeld from Goldman Sachs.
Tiago Binsfeld: Good afternoon, everyone. I have two questions to ask. The first one is about loss ratio. And as to the events in Rio Grande do Sul, is everything in the second quarter or is there any residual impact in the third quarter? Could you give us some more color what is the assumption for loss ratio that is in your guidance, and what is the degree of confidence that you have in terms of that expectation? And my second question is a follow-up as to the product that was discontinued. When are you expecting to launch a new product, and would be immediate? You said BRL 100 million, are you going just to launch a new product? Could you rebuild this contribution in your top-line?
Rafael Sperendio: Tiago, I'm going to start answering. As to the loss ratio in Rio Grande do Sul, whenever there is a catastrophe, in the case of our insurance Company, we are always more concentrated in crop insurance. We are always very conservative, with an initial estimation in terms of provisions, and then for IPCR and IBNR. And so whenever we calculate the effective losses, we have a higher likelihood of reviewing it down rather than adding something. So in principle, today, there is no indication that we might need to increase the provisions for claims to cover the catastrophe in addition to what we have already booked in our balance sheet, BRL 225 million. Almost 80% of those claims were concentrated in crop insurance and rural pledge. So, initially, this BRL 225 million have added about three points to our loss ratio, but after recovery of the protection clauses, the final impact is one percentage point in loss ratio, which is not really material. And in terms of the outlook for the second-half of the year, so there is no reason -- so, usually, the second-half of the year and the profile of our business, usually, it is not too volatile in terms of loss ratio. And the peak of the loss ratio, usually in the first quarter, sometimes a little bit in the second quarter, but most of it is usually in the first quarter. So, we do not think there will be any changes in the loss ratio as compared to the standards that we've been seeing in the first-half of the year, and this is all that I have. Would you like to say something about the credit letter? No, that's it. And the expectation in terms of calendar, so the technical area is remodeling the product. It's an old product, it's old-fashioned, it was not appropriately reflecting the evolutions in a credit letter market, so we decided to stop marketing it to implement new functionalities, to relaunch it between the end of the third quarter and beginning of the fourth quarter.
Tiago Binsfeld: Thank you, Rafael.
Operator: Thank you for the question. Our next comes from Gustavo Schroden. Mr. Schroden, please?
Gustavo Schroden: Good afternoon, everyone. Thank you for the time. Thank you for the webcast. It's nice to talk to you again. I have two questions to ask. Number one is about brokerage results. It's quite strong results in our understanding. And if we look at the breakdown, the brokerage even gained some share. And I was reading your release, and you mentioned that the booking of deferred revenues for insurance and, in pension, there is a mix with a higher percentage of commissions in the first installments as compared to sporadic products. If you consider the mix that you have and also the insurance growth base, should we expect the same kind of performance in the second-half or to changes with these first two points? This is question number one. The second question more directed to André. As to the contract, but we were looking and you mentioned there are 24 partners, almost BRL 800 million in premium being brought. So what is the target? Do you have any plan that has been outlined of how much would come from external partners? Could you share that with us? Thank you.
Rafael Sperendio: Pedro, thank you. Well, I'm going to go first. Thank you very much for the question. As to the brokerage house, in fact, in the first-half of the year, we have carried a little bit more incentives for periodical payment products, quarterly, monthly recurring products, as we call them. And these products, whether pension or premium bonds, that the brokerage fees associated to them is slightly higher, and this led to an increase of the brokerage in the bottom line of the second-half, so we to carry over more recurrence along the year. So in the second-half, we have less incentive to do that. We are going to rebalance the incentives once again, and we are likely to have a higher contribution, as it historically happens when more sporadic. And so, we are not going to have what happened in the first-half of the year again. And in terms of the breakdown of our bottom line, insurance and pension, in terms of subscription, will gain -- increase share. So, this was impacted by the interest rate curve, this had an impact in the first quarter, but we are not expecting it to repeat to open the curve in the second-half. The investment income is going to recover some of the losses, just as in the insurance Company we are expecting more premiums coming from the crop insurance, and this is going to increase the share of these two companies in the overall result. And this is the dynamics that we are expecting.
Andre Haui: Now, as to the mix of sales through the bank and outside the bank. So, first of all, good afternoon. Thank you for your question. I don't have a number to tell you. I told a story. Well, I got to the Company, and I saw this major concentration and a main strength of cooperatives helping us to sell insurance, especially credit life insurance, with quite significant result. And then, when we started looking in other segments, we understood that we needed to define partnerships in terms of what we want from our partners. Who are the best partners for BB Seguros to operate in those other segments? We cannot fool ourselves and say that we want 50/50 or 60/40. So, Banco do Brasil, for example, in more than 5,000 cities, is our strength. We have almost 29 million customers, 80 million registered people. But if I were to give you the number that I expect, I think that if we evolve to 10% outside, 90% inside, and we look at each kind of product, each kind of company, Brasilseg has more relevant than Brasilprev. So, Brasilprev, because of the quality and market leadership, should seek growth. Brasilseg is already above this line of 10%. Brasilprev is below, Brasilcap too, but it's been growing. So, I believe that seeking an average of 10% is good for all of them, but always we -- this is also a matter of choice of efficiency. If we decide to be outside with partners there is another issue of preparation for us to offer our products externally, so this is also related to efficiency. I think that 10% outside, 90% inside, this is a significant number, absolutely feasible. And, in the future, 20/80 is where we could get. But I think that Banco do Brasil is our main channel.
Operator: Thank you, Gustavo. Our next question comes from Kaio da Prato.
Andre Haui: Hi, Kaio, how are you doing?
Kaio da Prato: Thank you for the opportunity. I have just one question; it's about the PCC adjustments in Brasilprev. So, you had some customer payments, and also a PLA, and a minimum capital requirement. If you consider all these effects, would you say that the mismatch out of IGP-M and IPCA has gone down or not?
Rafael Sperendio: Thank you, Kaio, for your question. Well, as I said before, there was a reduction in the minimum capital requirement that had already matured. We called these customers and asked them to make up their minds and to make a decision to redeem their plans or sell. It was BRL 1.3 billion. So, the reduction of the liability of the customers that had to make a decision ended up relieving the minimum capital requirement for subscription. And, at a lower scale, we had a BRL 234 million reduction just because of that. And then there are other factors, but this is the most important in terms of structure, in terms of the minimum capital requirement. Also, in terms of capital requirement, which is the share that we allocate, when we shorten the liability, so a shorter gap in duration, the duration of liability is higher than on assets. And the second positive impact is an increase in the matching of indexes. Today, the matching is about 88%. So, we are over-hedged in the short-term, and a little bit under in the long-term. So, this new rule has provided this [indiscernible], has shortened the liabilities, [increased] (ph) duration, and increased the coverage for the liability.
Kaio da Prato: Thank you so much.
Andre Haui: Thank you, Kaio.
Operator: The next question comes from William from Itaú BBA. William, you may ask your question, please.
William Barranjard: Hello. Good morning, everyone. Thank you for allowing me to ask a question. I have two questions to ask. First of all, in terms of rural premiums, and thinking just in terms of credit life that is quite strong this quarter, but this is an expansion that started strong in July 2023. When you changed your target audience, how should I think about this line, as of Q3? Would they see a strong reduction in growth, or a slow-down or is this a 15% pace year-on-year, are you expected to continue? And my second question, in terms of loss ratio. So, you had the significant impact in rural and crop, and also credit life are better in terms of loss ratio. So, are these improvements better? Was there any reverse especially because of residential, because the number of calls has gone down recently, year-on-year, whether you have any calls that were not responded to in Rio Grande do Sul?
Rafael Sperendio: Thank you for the question. So, let's go top-down in terms of revenue, life and the rural lien insurance had a very good performance in the second quarter. Considering the basic comparison, so, rural lien was very much benefited because we launched a new coverage, and to guarantee livestock with credit operations. So, when they gave animals as a guarantee, we didn't have this kind of coverage, so we had to change the scope, and this had an impact in the first quarter. But it was the sale of BRL 250 million in the first quarter, but this is very much focused for inventory operations. Now, marginal sales are a lot smaller. So, when we look at the second-half of the year in the rural segment, it is -- it changes. So, a crop is going to get, and the rural lien insurance is going to reduce its share, especially if we consider the levels that we had in the first quarter. So, this is going to -- the crop insurance is going to go up, and the share of the others is going to go down. And this is more related to what you said, as we launched new products and adjusted coverage, age in life and rural, and also the lien insurance, so we brought in many operations that are not yet having claims being sent. So, there is a year-and-a-half, two years maturity curve until we can see the real impact of a billing increase on loss ratio. So, right now, it's only diluting the loss ratio. Despite what we had in Rio Grande do Sul, this wider base is contributing for a lower share. In terms of claims in home insurance, so it ends up being quite small. If we look at the world, we had more than 5,000 claims, and all of them were contemplated. We even expanded our array of coverage for the population that was directly affected by the catastrophe. Of course, we have some time to adapt to provide the service, and there were some structural problems. And as waters went down and the flow went back to normal, we could serve all our customers.
Operator: Our next question comes from Daniel Vaz.
Andre Haui: So, Daniel, you may ask your question. Can you hear me?
Daniel Vaz: Can you hear me?
Andre Haui: Thank you. Yes, we can.
Daniel Vaz: Good afternoon, Felipe, André, Sperendio. So, my question is related to La Niña. As of August, there is a 70% likelihood of this phenomenon happening. And in crop insurance, you reinsure and the El Niño in the in the first-half was not materially significant in terms of your loss ratio for rural insurance. So, this expectation for La Niña, what are you expecting to see? And number two is regarding reinsurance. Brazil is in the mapping of catastrophes, and it was not so common. And more recently, with Rio Grande do Sul, and everything that has happened, it's slightly worse. What is the renewal? And now this revenue -- what is the pricing renegotiation in terms of Rio Grande do Sul, any impact, is there anything you can share with us?
Rafael Sperendio: Hi, Daniel. Thank you for your question. As to the impact of La Niña, in principle, the effect that we are seeing is not worse than what we expected. What happened when we were designing the budget for 2024, we were already working with La Niña starting to have an impact in the second quarter, but there was a displacement in terms of time. It's very difficult to forecast -- but four months in advance, considering the calendar year, it's four months later. It's not yet completely clear. We are not very confident in terms of expected impact, but considering what we expected for the agricultural cycle that is starting now, there is no indication that leads us to think that to worsen our loss ratio assumptions. As to reinsurance, in fact, we had the event in Rio Grande do Sul. In principle, everything related to negotiations with the reinsurance company, there was no significant impact for us. Now, I think that this impact is more concentrated in major risks and commercial lines that we have no exposure in subscription. The lines with higher exposure and subscription are the ones in the rural segment. As you can see, if you look at our numbers, even though we had this event, nothing is materially sufficient to impact the profitability of our portfolio, anything that might lead to re-discussion of prices with the reinsurance. We haven't started our negotiations yet. I think this is going to take place in the future. But considering our business profile, no significant impact that we are going to carry or take to our discussion with reinsurers.
Daniel Vaz: Thank you.
Operator: Thank you. Daniel. So, we have no other questions to be asked in audio. We have two questions here that were asked in the Q&A. The first is very recurring one. So, the first one regarding dividends, so what are we expecting in terms of payout of dividends this year, next year, in combination with the buyback program?
Rafael Sperendio: Well, overall -- and so there is the buyback program which is close to the end of its execution. So, in the beginning of the year, we have a composition between return for shareholders coming from dividends and a higher share in the buyback program. In the second-half of the year, if we continue with the same trend of execution that had been going on until then, the performance of the second-half of the year will have a higher share of dividends in the overall numbers in terms of return for shareholders, considering both components, for the year, as we have been practicing since the IPO, between 80% to 90% payout. And so, this year, we are closer to the upper-part of this range, always considering a combination between buybacks and dividends. Now, when we look at quarters, the second quarter, more cash. So, considering our basic scenario, we do not have yet a time range that is sufficient to close the program to have everything -- we are not expecting it to end in 2024. This is not the basic scenario.
Operator: The second is related to the investment income and Selic rate. In terms of what was projected in the beginning of the year, at the end of 2023. This has changed slightly. How does this change impact 2024, and also our growth expectations in terms of investment income and net income next year?
Rafael Sperendio: Well, it's still a little too early to talk about that. But, in 2024, we're working with a slightly sharper decrease of the interest rate in the second-half of the year, which is not likely to be confirmed. So, we are going to have an interest rate charge higher in the second-half, slightly higher than we had initially expected, and this has an impact in the companies that comprise our holding. Now, volatility is difficult for us to tell, whether we are going to have an investment income that is going to be higher, even if Selic is higher because of this volatility, as we have been observing recently. But in principle, we are not working with the same size of opening of curves as the marking-to-market, and it will not repeat in the second-half. So, we are going to have investment income better in the second-half of the year than it was in the first-half of the year. Obviously, we adjusted our assumptions too, so -- especially considering the drop in interest rates, whether it comes through or not. And sometimes it's carried over into next year. So, in principle, in the beginning of this year, last year, next year, we were expecting a slightly more significant impact of investment income. Now, it looks like this is going to be more gradual along time, with a lower impact and less volatility than we had initially expected.
Felipe Peres: Thank you, Rafael. So now, we end our webcast to announce the results of the second quarter of 2024. As always, if you can, please, answer the questionnaire that you are going to see once the call -- the webcast is over. We want to hear you. Your opinion is important to us. Now, I would like to give the floor to André and Rafael for their closing remarks.
Rafael Sperendio: Hello. Once again, I would like to thank you for attending our conference call. And I am available, along through the Investor Relations team, to answer any questions you may still have. And we tried to do our best to give all the details in the changes that SUSEP's Circular Letter 678 has caused, but we can explain anything that is not yet clear to you.
Andre Haui: I would like to thank everybody watching us, especially our customers, shareholders, investors, everyone we share our day-to-day, our colleagues, all employees. So, obviously, we are going to go on strong in executing our strategy, going after a strong and sustainable result. And we are available if you want to get in touch with us so that we can answer any questions you may have. Once again, thank you very much, and have a good afternoon.